Operator: Ladies and gentlemen, thank you for standing by. This is the event operator. Welcome to Barrick's results presentation for the Fourth Quarter of 2024. Following today's presentation, a question-and-answer session will be conducted. [Operator Instructions] As a reminder, this event is being recorded, and a replay will be available on Barrick's website February 12, 2025. I would now like to turn you over to Mark Bristow, President and CEO of Barrick.
Se-Wook Yoon: Thank you very much, and a very good morning, and good afternoon to everyone here today. And for those that are on the call, thank you for joining us today. As you know, at Barrick, we are focused on delivering sustainable long-term value by owning the best gold and copper assets managed by the best people. Every quarter, we're getting closer to achieving our goal. With gold becoming more important as a safe haven in a geopolitically uncertain world, and copper being as strategic as gold is precious. I plan to show you how we are adding value and building capacity in both metals without taking an excessive amount of debt on or issuing new shares. Needless to say, it's an exciting time to be a gold and copper miner with more upside in the commodity price, in my opinion, anyway. It's been a transformative year for Barrick. One where we have invested heavily in our people and our assets. And we feel that we've reached a pivotable point that will add impetus to our strong growth trajectory. Above all, is our unwavering commitment to sustainability, enabling our vision not only to be the best gold and copper producer in the world, but also one that people will want to own. This is our customary cautionary notice regarding forward-looking statements, which you can read at your leisure on our website. So moving to our group highlights. It's great to see all the arrows once again pointing in the right direction. We saw EBITDA increase 30% and EBITDA margins grow both quarter-on-quarter and for the year. Also thanks to a strong performance in the last quarter, as we pointed out and discussed when we last met. We met our 2024 guidance. Adjusted net earnings per share grew 50% year-on-year to $1.26. The quarterly dividend was maintained at $0.10 per share and we repurchased an additional $354 million of our own shares in quarter 4, taking the total for the year to almost $500 million. We also continued our exceptional track record in reserve replacement for both gold and copper, adding substantial new reserves from Lumwana and Reko Diq. That's -- in addition to the replacement, 12.7 million ounces of gold and 13 million tonnes of copper of reserves from those 2 projects, which just to put it in perspective is on a gold equivalent basis equal to 73 million ounces of gold. Quarter-on-quarter, gold production from our mines increased 15% and with a 3% reduction in cost of sales and 5% decrease in total cash costs, driven by our focus on cost efficiencies. Nevada played a key role in this performance with a significant throughput and production boost as it delivered on guidance. On the copper side, Lumwana posted a quarterly production record and on a group attributable basis, we achieved production guidance for both copper and gold. Turning to the financial results. Some of which I've already touched on. We achieved the highest net earnings in a decade. Operating cash flow for the quarter was up 18% to $1.4 billion, taking the total for the year to $4.5 billion, the highest we've achieved since 2020. This strong performance led to 104% increase in full year free cash flow to $1.3 billion for 2024. Strong cash flow supported $500 million of share buybacks on top of $700 million in dividends which kept net debt in line at just over $650 million. Safety and our Journey to Zero remain our top priority. Unfortunately, as we have already reported, we had 3 fatalities in 2024, which is unacceptable. We, however, ended the quarter with significant improvement on the lagging indicators when compared to the same period last year or the previous year. What was particularly encouraging was the increase in critical control verifications conducted at the sites as well as the number of actions closed out after high potential incidents, both of which represented our focus on leading indicators too. This improved performance meant that we achieved our improvement goals for the group. Additionally, there was no Class 1 environmental incidents and we again achieved an industry-leading water use efficiency rate of 85%. We continue to integrate our holistic mine closure strategy across the group and drive long-term value creation. Most notably, we exceeded our group on current rehabilitation target for the second consecutive year and put 7 of our old tailings storage facilities into safe closure, and we are targeting a further 5 this year. As usual, we will start our operational review with North America, which to remind you, accounts for 47% of our total attributable gold production and is Barrick's value foundation. The new leadership team has settled in well. Focusing on the key metrics we identified for improvement in Nevada, including efficiencies, agility, profitability and growth. For this, we've identified several growth opportunities, including both Brownfields and the new Fourmile project, which we'll discuss further later. Moving to the summary of the results. The numbers speak for themselves. As we anticipated, we saw an improvement in production and costs driven by a strong quarter 4 performance across the complex and particularly from our 3 Tier 1 assets. This, along with the higher gold prices supported a solid set of financial results for both the quarter and the year. And as mentioned, Fourmile is one of the most exciting new gold opportunities. The team has done excellent work to move that project to pre-feasibility study. We allocate -- we are allocating $78 million for the 2025 year to begin the pre-feasibility study work, which we will expect -- which we expect will take about 3 years to complete. In terms of mineral resources, there has been a significant improvement in the 2024 economic assessment as we highlighted at our November Capital Markets Day. This project is essentially an extension of Goldrush with much larger ore bodies and nearly double the grade, making it a highly promising opportunity and we will continue to share updates on this project as we move forward with the pre-feasibility study throughout the year. In addition to Fourmile, we are continuing to expand our significant Brownfields portfolio in Nevada. At Carlin, the Greater Leeville area holds substantial potential for further discovery and depletion replacement while at Cortez, we have the Hanson extension within the Cortez Hills underground mine, which remains open in all directions. We're also advancing greenfields work with drilling at Swift and in the Carlin basin near the Gold Quarry deposit, confirming large Carlin alteration systems under cover. And at Turquoise Ridge, we're upgrading the model and have recently defined several new near-mine targets to be tested in the coming months. Looking at North America as a whole, we're continuing our work in Canada focusing on Southern Superior with drilling progressing at both the Norris and Patris projects. We're also expanding our footprint in priority belts across Western United States for both gold and copper assets, which includes the ongoing consolidation of an exciting portfolio in Western Nevada. Moving now to Latin America and Asia Pacific region, which accounts for 17% of our gold production and 21% of our copper production and boast 2 key growth stories. The Pueblo Viejo expansion is making good progress and the bankable feasibility study at Reko Diq, which is now complete and received conditional approval from the Board to proceed yesterday. It's also worth highlighting the performance at Veladero, which delivered its best production results in the last 5 years. Gold production at Pueblo Viejo remained relatively stable with an improvement throughout the year in recovery rates reaching 80% by year-end as forecast. Pueblo Viejo is making good progress towards its goal of becoming a low-cost, long life, plus 800,000 ounce gold producer. Ongoing work includes 35 days of planned downtime this quarter for throughput improvement projects with additional shutdowns expected in quarter 4 to further improve recoveries. We're also advancing the El Naranjo Tailings Storage Facility, an important infrastructure project to support the mine's life extension. Looking ahead and as shown here, we are focusing a step-up improvement in throughput and recovery on the back of those plant improvements and upgrades I referred to in the previous slide. We expect to be in the mid 600,000 ounces for this year with a target of exceeding 800,000 ounces next year. And on this slide, you can see some updates as we move forward with our ongoing resettlement of affected households for the development of the tailings storage facility. This resettlement, which aligns to the international best practices and standards will ensure that those affected by the project have the same, if not better living conditions. And we believe it will be better with clean running water and electricity supplied to each house at the host site. This will, along with the livelihood restoration plan and access to education facilities allow the families being resettled to build a better future together. The first families will be relocated in the next few weeks. On the exploration front, we've refocused our entire portfolio across LatAm and Asia Pacific, targeting a series of new Tier 1 level opportunities in the region. The most advanced projects are in Peru at Libelula, where we are drilling multiple targets and Ccoropuro, which is a porphyry project that is currently progressing through permitting. Additionally, we are actively evaluating our first set of early-stage properties in Ecuador within -- with 6 prospects currently under review, all of which are promising. Reko Diq, I must say, just gets more exciting day by day. With the feasibility study now completed our focus has shifted to the early works, project startup and wrapping up the funding. The project is structured in 2 phases with the total estimated budget for the Phase 1 of the approximately $5.6 billion to $6 billion, as shown in the graph on the bottom right. This mine is to become one of the lowest cost copper producers in the world sitting well below $1 per pound after gold credits. Free cash flow is estimated at around $74 billion over 36 years, excluding taxes payable to the government of Pakistan and Balochistan. And further details are outlined in the table on the left of this slide, and we expect to publish the full 43-101 report next week, I think, Simon? Our limited recourse project finance discussions with a potential lending group comprised of multilateral export credit and import finance agencies are well advanced, and we are targeting to sign this early in the third quarter. Subject to the financing again, yesterday, our Board has conditionally approved a go ahead of the project with first production targeted by the end of 2028. Just as a reminder, it's worth pointing out that the bankable feasibility study focuses only on 4 porphyry deposits, 3 of which are part of what we call the Western porphyries, along with the Tanjeel deposit as shown on the slide. It's important to note that the current bankable feasibility study is based solely on reserves associated with these 4 porphyries. But there is significant potential beyond that. In total, there are 14 identified porphyry bodies within the mining and exploration license owned by Reko Diq Mining Company. Our geologists as we speak, are currently actively evaluating these other bodies, which will certainly influence future life of mine plans and reserve and resource estimates. There's a substantial upside and while the feasibility study assumes 36-year mine life based on reserves, all indications suggest the mine could still be operating through the rest of the century. Moving to Africa and the Middle East. These regions contributed 38% of our attributable gold production and 79% of our copper in 2024. Like Reko Diq, the super pit expansion at Lumwana is close to being fully permitted and the feasibility study is now complete. We've appointed our engineering partners and finalized the environmental and social impact studies for which we now have received the permit. We are also on track with early works design and long lead item fabrication. This highlights the big advantage of emerging markets where large expansions and new projects can be completed much more quickly than in the developed world, but at exactly the same standard. In addition to the work at Lumwana, last week, we signed a memorandum of understanding with the Zambian Government's Industrial Resources Limited forming a strategic partnership's to drive mining exploration in Zambia. This collaboration aligns with Zambia's vision to increase annual copper production to 30 million tonnes in the coming days. Starting with Loulo/Gounkoto. In spite of the challenges we are currently experiencing in Mali, production increased by 80% in the fourth quarter -- by 8% in the fourth quarter and exceeded guidance for the year. Gold sales were down significantly due to the restrictions placed on exports by the Malian government. As you know, in addition to export restrictions, we faced the unjust incarceration of some of our team members, which is a difficult situation to navigate. We are actively engaged with the administration to secure their release and on a sustainable solution moving forward so that we can restart the mine. This situation has led us to file for ex arbitration to assert our rights. But at the same time, as usual, we remain engaged and are hoping to continue to make progress, albeit slowly. Our goal remains to reach a lasting solution that brings benefits to Mali while ensuring fairness and supporting the long-term viability of this world-class operation. This being crucial to the country's economy as well as all its other stakeholders. I thought it would be worth putting a few points into perspective. As at times, there has been a lot of misinformation about the benefits that Mali has received from the development of these assets. Since 2005, we have contributed more than USD 3.2 billion to the Malian treasury in the form of dividends, royalties and taxes. More recently, in the past 2 years alone, we contributed $400 million in 2023 in cash to the Malian treasury and $460 million in 2024 to that same treasury. Had the mine not been forced into temporary suspension, we were on track to contribute more than $550 million in 2025 at current gold prices. Beyond the financial contributions, our focus has always been on long-term growth to sustain those benefits for Mali and its people. Since 2005, we have produced nearly 10.5 million ounces of gold and have added more than 15 million ounces to reserves, exceeding the mine's life to -- extending the mine's life to 2041. But more importantly, we have built and developed local talent. Today, Malians are operating across our global business, including in Nevada, and their expertise is a key reason why these assets continue to succeed. The talent extends beyond our workforce. We have helped develop Malian businesses that have pioneered growth in the mining sector, some of which have expanded beyond Mali as a country. From specialized mining contractors to fuel and consumable suppliers, the economic multiplier effect of mining is immense, creating opportunities to go far beyond the mine itself. Now crossing over to the DRC. Kibali, the biggest gold mine in Africa and one of the most automated in the world had a much improved quarter as we work to address some operational challenges that plagued the mine for most of the 2024 calendar year. While it took longer than expected, those issues are now behind us. Kibali is a great mine, low cost with a long life and significant opportunities within its mining lease. Production increased quarter-on-quarter and sustaining costs were well controlled. We're confident that Kibali will show significant improvement across the board during 2025. The new solar plant and battery storage system are planned for commissioning at the end of quarter 2 of this year and this will see an increase in the availability of renewable energy from 81% to 85%. And 6 months of the year, we will generate electricity with 0 carbon emissions. In Tanzania, North Mara was a standout performer across all metrics, serving as a great example of what can be achieved when the right management team is in place and operating to our standards. Production was up 20% quarter-on-quarter on the back of higher grades and higher throughput. At Bulyanhulu, we've seen significant improvements as we continue to increase the scale of the operation. North Mara's life of mine has been sustained beyond 10 years. And Bulyanhulu's life is well over 20 years. We'll dive into exploration details a little later. In Zambia, our Lumwana copper mine delivered a stellar performance, a record quarterly production brought the mine back into guidance and delivered a significant improvement in costs ensuring a successful end to 2024. Many of the feasibility study assumptions for the super pit expansion have now been proven in the operation, the details of which are summarized on the next slide. The image on the left shows the super pit alongside a summary of the feasibility study results on the right. This is a standout project, and it is important to put it into perspective. When Barrick acquired the mine in 2011, it was unprofitable and resulted in a $5 billion write-down. In the past 5 years, a focus on cost discipline and exploration has added significantly to reserves extending the life of mine by more than 20 years. Today, the mine is sustainably profitable and a pillar of our copper growth strategy. With the super pit expansion feasibility study completed, we are now moving forward with the project development following approval from the Board, as I explained earlier. The feasibility study clearly supports the value of this investment. Importantly, we can fund the super pit expansion as well as our share of Reko Diq development through our current and forecast cash flow facilities without needing to issue any new shares or take on additional debt. In fact, as I pointed out in the introduction, we are reducing our outstanding share count by buying back our own shares. I've already touched on the exploration opportunities in North and South America and we continue to make significant progress in our Africa and the Middle East regions as well. The region remains a consistent leader not only in meeting its guidance but also in replacing the reserve mine both in gold and copper. We are actively investing in our future, focusing on material Brownfields opportunities in the ARC target area just west of the KCD deposit in Kibali while also pursuing new Tier 1 assets. Our greenfield footprints are expanding, especially in Tanzania, Senegal and new frontiers in the Arabian and Nubian Shield. The recently signed MOU with Zambia also underscores our focus on expanding in the Central African copper belt. As I've always said, what truly sets Barrick apart from the rest of the industry is our ability to replace what we mine. Since 2019, we have replaced more than 180% of the company's gold reserves depleted. Notably in 2020, we replaced the 4.6 million ounces of annual depletion at better grades before the addition of the Reko Diq reserve base. This replacement was driven by the usual strong performance in Africa and Middle East, with additional significant growth in Pueblo Viejo as the result of pit pushbacks unlocked by the additional TSF capacity in the new Naranjo Tailings Facility. The conversion of copper gold resources in Reko Diq adds nearly 13 million ounces of gold reserves at 0.28 grams a tonne on a 50% attributable basis. Positioning Barrick to capitalize on the copper fundamentals, we look to Reko Diq feasibility study, which added 7.3 million tonnes of copper at 0.48% to attributable copper reserves. The Lumwana super pit expansion feasibility study added 5.5 more million tonnes of copper reserves, resulting in a total project copper reserve of 8.3 million tonnes at 0.52%. This represents an addition of more than 20 million tonnes of copper reserves on a 100% basis since 2023. And these reserves were calculated at $3 a pound. These results from the respective feasibility studies pave the way to position Barrick on the global stage of major copper producers alongside our existing world-class gold portfolio. Our consistent focus on asset quality, which through our integrated mineral resource management and exploration strategy enables us to replace what we mine. Since the merger in 2019, we've added 111 million gold equivalent ounces to Barrick's reserve base, all at a cost of just $10 per equivalent ounce, not only replacing what we have mined but delivering substantial value. As highlighted in this slide, when you compare this to the cost of recent M&A transactions in the industry, the value we have created through doing this is abundantly clear. And ladies and gentlemen, it's on the back of this organic growth that we can forecast a plus 30% growth in gold equivalent ounces at the end of the decade. As already highlighted, we are moving ahead with 2 key growth projects, which will see capital increase over the next 3 years before coming back to more normal levels. And as production increases so too we expect costs to reduce as shown in this slide. And as I shared with you last year at our Investor Day in November, the value opportunity at Barrick only continues to increase. The slide here shows consensus net asset values with market multiples applied, including a modest 1x multiplier for copper assets. You can see that the value for Nevada and the copper business together exceeds Barrick's market capitalization. That means there's an implied negative value for the rest of Barrick's Tier 1, Tier 2 and other strategic assets. I can also tell you that these consensus values are significantly lower than our own internal valuations, something we expect to shift when we published the technical studies for Lumwana and Reko Diq later this month. No matter how you analyze the portfolio, the current share price does not come close to reflecting the fair value of our asset base and our prospects. You'll also see our view reflected in our buyback activity this quarter which you can expect to continue. So to recap, where Barrick is headed today? I outlined earlier that we are targeting 30% growth on a gold equivalent ounce basis towards the end of the decade, built on our current reserves. As I've shown you today, we will continue to replace and add to those reserves and resources further supporting our growth. What's more? We have the balance sheet strength to fund our growth and continue to invest in our own future without relying on the market. By any measure, Barrick today presents a standout value opportunity. And with that, ladies and gentlemen, I thank you for listening, and we will be happy to take questions.
Anita Soni: Hi, good morning Mark.
Se-Wook Yoon: Straight out the block.
Anita Soni: Yes, right out of the block. First question, the reduction in CapEx. So you trimmed CapEx, I think the November Investor Day, it was around $4 billion or $3.9 billion or so. And I believe it was about $1.5 billion in the copper side and $2.4 billion on the gold side and now it's $3.1 billion to $3.6 billion. So some of that's Loulo, I assume, because it's not -- there's no capital for Loulo. And what's the other -- where did the other trim come from?
Graham Shuttleworth: Hi Anita, it's Graham. The vast majority relates to Loulo because obviously, we've excluded the production from our guidance, and we've excluded the capital as well. There were some other small changes in Nevada, but really, it's all about Luolo.
Anita Soni: Secondly, what are the standby costs at Loulo? And where is that running through in the financials?
Se-Wook Yoon: So right now, we've taken out all the gold in the circuit that we can. And so we're in a very much a breakeven place today, we are engaged. We expected that we will continue to make progress on our conversations. And I'll just put this slide up, this is just an indication that if we start up early in March, that's the sort of hatch bar is our attributable portion of production. And so it's at that point. And as we've disclosed in the MD&A, right now, we're not guiding for Loulo, let's get it done and sorted. We have reallocated a lot of our experienced operators to other operations to ensure that they are active and contributing to the company. And we've got quite a big staff on care and maintenance because there's a temporary care and maintenance process. It's not a full care and maintenance plan yet. And we expect to be able to bring that mine up and back into production very quickly. And really, Anita for us, you've seen me, I've been reluctant to get involved in a public negotiation with the Mali authorities, we prefer to keep that at the level of invested to principal, and we'll keep you posted as we go.
Anita Soni: Okay. And then so that would mean that the next question was the -- the outlook, 2027 through to 2029 assumes that Loulo restarts, right?
Se-Wook Yoon: That's correct.
Anita Soni: Okay. And then my final...
Se-Wook Yoon: I think just to point here is when you look at Barrick, it's -- I mean, it would not be a good thing to lose Loulo, not for anyone's sake and particularly not for Mali's, but equally for us. We are long-standing partners in Mali. But every one of our operations are independently viable, and Barrick's balance sheet is very solid. And so with or without Loulo will not change our long-term plan, our 5-year plan, as you see here. And it will just be slightly smaller, but fundamentally, we can easily support the projects and the capital commitments during that period. And I think that's a very important point to underscore.
Anita Soni: And then my final question is with respect to the PV relocation efforts. There's been a couple of press releases that you guys have put out in the last 2 months. Talking about issues with, I guess, a commission that is represent -- or claims to be representing families and it's hampering the process. Could you tell me how many families are yet to be relocated? And what the time line for construction for that is again? And when do you need that capacity?
Se-Wook Yoon: So it's 2029. I believe, 2029 completion. We are right in the middle of consulting and -- so we finalized the reimbursements, and there's a lot of negotiation around individual bonds, particularly for those people who have like [ Cocoa ] plants, et cetera, and so it's quite important. The commission we refer to really represents themselves. And there -- it's a selfish group of people trying to hold the rest of the communities to ransom. And we are engaged with that as we do, we follow the IFC relocation procedures, which are almost identical to the World Bank procedures. And we are working with them and the government and the communities themselves. What happened is that the commission tried to motivate people to block our access to areas to -- that we need to do to test work -- test drilling on, on the foundation of the actual starter wall. And so we -- with the help of the government, mobilize the security forces to let us -- give us access. These are public road accesses and once we were through, I mean, we were really welcomed by the communities, and we were able to continue the test work. And we're back in doing the test work as they have been for a couple of weeks now. So it's a process. I mean, these things are -- you get people to exploit the opportunity. There are people that want to get ahead. And as you know, we've done a lot of this. And it's -- and we're very mindful as families and their lifestyles and their ownerships and -- and so -- and what we found is once we start moving the people into the new homes that I showed you, then things get a momentum on their own. But we're still in that stage of what we call evaluation. So we sit at each household. We work through the house there, all the assets. We assess the value of that and then agree on the -- not only the house itself, we've got different size homes that we've already built and are continuing to build, but also the other things that like plants and other infrastructure that are not necessarily duplicated in their new homes. And that's what we're busy with at the moment. So I don't actually -- I can't tell you exactly the percentage yet, it's still quite a way to go, but we're in that process now.
Brian MacArthur: Brian MacArthur, Raymond James. Mark, I just want to go back to Fourmile. You've talked about better grade, better mining conditions, but there's also a discussion about the processing facilities. I'm kind of curious whether you comment yet. It talks about flexibility going to the roasters or the autoclaves, how much you see potentially going each way at the moment? I get it. There's a lot more work to be done. Second question, I'm just kind of curious why there's a 3-year PFS that looks like a pretty detailed PFS, and it may have something to do with what we're discussing the first. And three, if you could just comment again about how the vend-in with Newmont works?
Se-Wook Yoon: So the joint venture, I think we've explained this quite a few times, it provides for us to be able to put the infected, it doesn't give us the opportunity. It gives us the obligation to put this project into the joint venture on a predetermined valuation, but a full evaluation, a market evaluation, not a bankable feasibility study evaluation. And so that -- on that basis, we are continuing towards that. So it's a thorough evaluation. Last -- last year, we did the preliminary valuation, trying to get a feel of the size and I've just stuck the slide up. And what you can see is it's the continuation of the system that defines Goldrush. The difference is you're moving towards that big pink intrusive. So the rock becomes more silicified, more brittle. And so the mineralized fluids are breaking it. And one, it's much more competent geotechnically; and two, the ore bodies are bigger. So -- and they're higher grade because most of them are [indiscernible] style ore bodies. And there -- so far, if you just look at the different numbers, you know it's 6 grams and nearly 12 grams. So if you take -- we showed you this at the Investor Day, if you just take the Goldrush valuation model and use everything, including the cost of mining and development and processing and you just put the grade in, it's an exceptional value. And of course, the unit cost of mining will come down because these are much higher, bigger stopes. So we understand the potential value. If you take Fourmile and you stick it into Nevada today, you change the full valuation of Nevada immediately. So there's every bit of motivation for us to get this asset into the Nevada business model. At the same time, there's a requirement under the joint venture to complete a feasibility study. So the decision we've made is to continue the evaluation. So the next step is pre-feasibility study level. And with that will come the -- we've already done the preliminary work on Geotech to get access from Bullion Hill, which then brings in a new access into -- not only Fourmile, but it will enhance the entire logistical cost of moving ore even in Goldrush. And so that's the next step. And then for me, it's about how do we deal with our partners in Nevada Gold Mines to ensure that we get this thing recognized as -- on its value and also start benefiting from it because I've got no doubt that certainly, the shareholders we talk to our shareholders who many of are also Newmont shareholders can see the opportunity here. So I think it's beholden on us as managers to find a solution that will unlock this value sooner rather than later for all our stakeholders. And that's really where I'll stop in that conversation.
Lawson Winder: Lawson Winder from Bank of America Securities. Mark, thanks for the presentation today, nice to see you. I'd like to come back to Mali, if you wouldn't mind. And I mean just note that in Q4, you guys paid out over $100 million and then $249 million in 2024, roughly, in order to continue to advance negotiations. Conceptually is that a payment that you would continue to have to make? And then without revealing Barrick's position on this, I understand the sensitivity of negotiation. But can you give us a sense of what the Malian government is hoping to achieve?
Se-Wook Yoon: So I'm not sure you got the numbers right. You said that again -- we paid out?
Lawson Winder: Well, there was another expense number. And it was -- so for the full year 2024, it was $249 million. And the note in the MD&A said that, that was largely -- that largely consisted of payments to the Malian government to advance negotiations. I don't know what proportion of that was, but I mean more than 50%, I guess.
Graham Shuttleworth: So the payment that we made to the Malian Government, which was made in beginning of October, at the time that we were in a position where we thought we had agreed a way forward was $84 million. So that's the amount that we paid. And that was really a one-off payment because, as I point out, we're at a stage where we believe we had an agreement, albeit that subsequently that didn't transpire that way. So that's the only payment we've made.
Se-Wook Yoon: Okay. Lawson, let me just try and frame it a little bit. So there are a few of our ex-employees who are advising the government to -- in our mind, have conflicts of interest in many different aspects. But they basically -- the fundamentals are they claiming that the mining industry had not fulfilled its obligations and that had taken out more than what Mali had taken out. And as I pointed out earlier, we have not done that. And so our approach to this is if we're going to find a solution and there are accusations, we accept that, let's get around the table because we can deal with that. And we -- as you know, we are very open and very transparent about what we pay and what we share and what we take out. And the reason that the weighting is towards the Mali Government and has been for a while is because we -- as investors, we are constantly investing in extending the life of mine. But ultimately, it evens out over time. And so if you change the rules midway through the game, you really compromise lots of things in not only returns for us and our investors who have risked that investment, but also for Mali because you shortened the life very quickly because adding a whole lot of royalties jack up the costs. And it's on that basis, that we've continued to engage with the Malians and said -- and we strongly recommend and have recommended to them that we sit around with the experts, they don't have to be even Barrick experts. We can get external third-party experts to review the facts. And then on that basis, we can find a way forward. And it's worth sharing with you that when I took over the leadership in Barrick, Tanzania was closed, people were in jail. There were lots of accusations and all sorts of fines, not [indiscernible]. Same with Pakistan and soon after that, Papua New Guinea. And today, we have -- we are the -- I mean, Tanzania is our go to place and it's a great example of real partnerships, and we're the biggest contributor to the treasury by a country mile in that country. So -- and Pakistan, we've just talked about the partnership that we've now announced and we're moving towards development. And again, the benefits to us as investors and the provincial government and people of Balochistan as well as the Federal Government are enormous. And so there's a way to find it because if you get down to the numbers, that's what business is all about. And so that's our focus because otherwise, what happens is if you just load up the costs and you know this better than anyone, you shorten the life. And then the optimization of that ore body, you leave a lot of grade in the ground that's never going to go back, no one's going to go back and mine. And ultimately, it's the people Mali that lose, the investors will move on to another country, another project and other opportunity. So we -- and we, as you know, have a long history in Mali. And whichever way you cut it, the gross -- the net benefits to Mali have been in excess of the benefits that we've taken out of that country because we've continued to reinvest. And it's on that basis that we're engaged and we are absolutely clear that if we get down to have an honest open conversation with people that are giving sound advice and are not conflicted or motivated by the things than just getting what's good for Mali, we'll find a solution. And that engagement is ongoing.
Lawson Winder: Okay. And then if I could, there was a news reported of a potential sale of your 50% interest in Zaldivar. I would assume that's not one of your strategic assets. When you look across the portfolio, are there other assets that you would suggest may not be strategic at this point today?
Se-Wook Yoon: So Zaldivar is very a huge focus of ours at the moment because it's about getting the permitting in place and making sure that, that mine can continue to operate. And so we haven't made any decision or engaged in anything as far as getting rid of that asset. At the same time, to your point, it is not a core asset because we don't operate it. And that's one of our key focuses is that we're not passive investors. But our big focus at the moment and now work with Antofagasta is to get there. And I've myself spent a lot of time in Chile dealing with all the legacy issues, of which most of them are now behind us. And this extension of the mining license is important for us at Zaldivar. And at a point in time, I mean, it's a valuable asset. So it's not an asset that would be difficult to bring into account. It's also an asset that sort of shares a common sidewall with Escondida. So that's -- so there's lots of options once we get there to consider it. Tongon, as you know, is in a process and we have been working with the government of CÃ´te dâ'Ivoire and progressing that sale. There are either non-core assets within our portfolio that will continue to get our focus because -- and particularly as we ramp up these 2 big projects, because it really does -- if you look the one thing you will see when you look at the 43-101, and even when you do the math on the numbers we've shared with you. The cash flows out of these big copper mines, particularly with the gold credits are enormous. They become our biggest generator of cash. And so it reminds me of that absolute clarity of we stick to Tier 1 assets. Some of the assets that we have in our portfolio might have a strategic nature, be it Hemlo in Canada. And you know we've been working really hard to build a real Tier 1 opportunity or Tier 2 opportunity in Canada, and we continue to do that every day. Veladero, we added an extra 3 years life and again, that's been a very well-run operation through a very dynamic peso crisis in Argentina over the last 6 years. And it had a very good year last year. The team has managed that exceptionally well. And it's delivered enormous returns to its shareholders. It also is integrated into the Lama and Pascua properties across the national borders. So that's, again, a strategic challenge of how do you manage that if you wanted to really look at it differently or bring it to account in another way. At the same time, we have a strong partnership with the Chinese and I think it would be -- there's a way of sharing more of that going forward. So we haven't got to a point where we're clear about how we would manage that within our portfolio, but we're certainly thinking about it. Same goes with PNG. There's a bit more work to do to be able to get PNG properly packaged. It's also -- it's at that point now if we can continue to deliver on the progress that has been made since we ramped it up, it's a very big cash generator relative to the equity portion that we own because we sweep everything until we get our closure of money back and all that sort of stuff. And so we've recut the profile of Papua New Guinea focused in on making sure that we look at getting back some of our investments in as a priority without damaging the long-term liability of the asset. And one thing I can assure you is that the Papua New Guinean Government is aligned with us on that strategy because that also could do with a bit of return from that mine. And again, that in the fullness of time, is it a place we want to continue to be as we grow our other sort of world-class businesses and places where we know we can get the money out and we don't have to deal with some of the social issues that you have to deal with in Papua New Guinea. So that's where we are. And we're definitely thinking about it. We haven't made clear decisions on anything, but Tongon is definitely one that we're doing at this stage. And I'll just reinforce, the one thing -- when we started out in 2019, I mean, the Barrick as it was then, was a challenging business to run, had many scorpions every time you picked up a turnover rock, there was a scorpion. Today, all our assets are extremely viable. And have positive cash flows. And so -- and this is the time, a good strategy. We said we would deliver these 2 big projects, we've done it. PV is a big value creator in Barrick. And again, you've seen I don't hesitate to clean up the portfolio at the appropriate time. And the best time is when you have higher commodity prices. So certainly, we'll continue to keep ourselves very focused and stick to our strategy of having Tier 1 assets. Are we exhausted here in the room?
Martin Pradier: Martin Pradier from Veritas. My question is, are you still paying salaries in Loulo to the employees? So how is that working?
Se-Wook Yoon: Yes, we are.
Martin Pradier: Okay. And the -- what is the cost for the company of -- you're paying salaries and you have no production basically?
Se-Wook Yoon: So as I said, at the moment, we haven't really distilled that because it's a temporary closure and what we have done is taken out the gold out of the circuit. So we have produced gold. We've got to be able to fill that circuit when we restart again. And we've put everything on a sort of running maintenance, so proper temporary care and maintenance. And there's no big net cost at this stage if it was all to restart and get going. We can't continue with this for long, but certainly, we can go for a couple of weeks or a month and a bit, while we try and get closure with the Malian Government. At that point, we would have to make a different decision, and we haven't made that yet. Graham, do you want to add to that?
Graham Shuttleworth: No. I mean the only thing I would say is if you look at Porgera as a proxy, if we do go to a care and maintenance environment, the sort of historical run rate there was about $10 million a month in holding costs. So yes, that's a reference point if you're looking for something.
Martin Pradier: Perfect. And one other question. The cost of Pueblo Viejo was 14% higher despite production falling only 5% everything compared to the previous.
Se-Wook Yoon: We're talking about all-in sustaining costs?
Martin Pradier: I think was the cost -- the reported cost, I think. And I wonder why?
Se-Wook Yoon: So what we had -- the big driver in the cost in PV in quarter 4 was that we -- as per the mine plan, we had lower grade. And so that impacts the unit costs. And we -- our focus was to get -- we were focused on throughput and recovery during that period. We've got to go down now to fix the thickener and will upgrade a number of desliming facilities, thickeners. And we need that to now lift again the throughput rate and to be able to deal with the recovery, improve recovery. And we've we showed in the slide the schedule there is of how we plan to move. And so we will -- as I said, we're targeting middle 600s this year, and then next year, we'll go above 800, and we should stay there. And even after that, there's still ultimately, we get to just on 90% recoveries. But it's over a couple of years as we settle in, and our plan anyway. But the big -- the big sort of fixes are in this quarter. We're down for 45 days and then we're down again in quarter 4. And after that, we pretty much addressed the big equipment shutdowns to fix and tie in some additional equipment.
Graham Shuttleworth: Yes. I mean the key thing there is that the grades were significantly lower quarter-on-quarter, and that was really the big driver.
Se-Wook Yoon: So we move to the virtual platform.
Operator: [Operator Instructions] Our first question is from Josh Wolfson with RBC Capital Markets.
Joshua Wolfson: Looking at the production guidance for both 2025 and also over the 5-year outlook. The numbers have changed versus what was issued in November even if we adjust for the impact of Mali in there. I'm wondering, is there any fundamental changes in how the assets are being evaluated? Or is it just maybe reflecting some conservatism versus what the prior November budget was?
Graham Shuttleworth: Josh, it's Graham. Yes, so I think it's important to recognize that when we shared with you the graphs in November, we gave you -- these are graphs, they're a very small scale. So they're not really meant to be precise information. They're there to give you sort of directional information in terms of where the production is going and the overall impact of that production on costs, capital, et cetera. So we do revise these from time to time. And when you look at this one, there are some small changes that reflect some of the changes that have taken place in the business from November to now, some of the impacts of -- for example, the slowdown in Loulo and some of the changes that we've seen across the rest of the portfolio. So I don't think you should get too focused on the granularity of the graph. It's really about the direction.
Se-Wook Yoon: Josh, why don't you tell us that we've got to meet our guidance and then you start trying to nit pick about the exact number. So I think we've looked at our guidance very carefully and made sure that we're focused on a range that we can deliver on, and we'll work from there going forward. But I think to Graham's point, the direction of travel and the fact that we're saying the growth out to 2029 is a minimum of 30% is the takeaway here. And when you look at the cash flow impacts of that, if you model them, you'll see what it means. And so as you know, we've had this conversation for most of your career, you and I. And that is growing cash flow is a key part of what I've always been able to do. And production is important, but it's ultimately the value you get from those growth opportunities. And we're very motivated with this. And I think that the other thing I would add is when you look at the quality of our people, we took our Board over a period of 2 days through these feasibility studies with 2 separate teams that have been working on these studies for a number of years now, and we've got a quality group of people quite capable of building out these big expansion projects. And ultimately, that's the new generation of leadership in Barrick that will come out of that along with our corporate team of subject matter experts. So it's an exciting time. And definitely, everyone feels that we have the ability and the financial capacity to deliver on these expansions.
Joshua Wolfson: One more question, if I can add. Just on Reko Diq. Similar, there's been a number of articles that have continued in the press about possible buyers for a portion of the assets. It sounds like that deal has progressed a bit lower than maybe what we thought a year ago. I'm wondering, is there any kind of status update that Barrick at least can issue? And then from the other perspective, if there isn't a deal that's announced for your partners in country, what is sort of the outlook for Pakistan to fund their portion of CapEx?
Se-Wook Yoon: So with the current funding lending group progress there's no -- absolutely no way that Pakistan would not be able to fund its share and it has been up until now, funding its share as well. And this -- and we don't have any -- we don't underwrite any part of the Pakistan investments. And so absolutely, there's no risk of that, in my mind, and the lenders' minds as well because that's been one of the focuses that they had on the ability for the Pakistan side of the equity to be able to fund their share. I think the significance of an investment from Saudi Arabia is not lost on us and not lost on anyone. And again, as you know, we are very strong partners in Saudi with the Saudis and equally strong partners with the Pakistanis in Pakistan. And so we were always there to help and facilitate but we're mindful that this is an ongoing discussion between Pakistan and Saudi Arabia and I am absolutely sure that they will come to some sort of arrangement sometime.
Operator: The next question is from Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: I have 4 in total, 2 for Graham and 2 technical for Mark. Going to start with the financial ones, Graham. Just wanted to ask you about taking the write-down on Loulo-Gounkoto. I thought it -- I was a bit surprised with it, to be honest because given historically, Porgera was able to operate on care and maintenance -- operate -- was on care maintenance for a while before your auditors looked at the carrying value of that asset. So my question is, number one, has -- was there a change? I understand it's goodwill. And does that mean every quarter if this asset isn't up and running that we are going to be reviewing the carrying value?
Graham Shuttleworth: Thanks, Tanya. No. It doesn't mean we'll be reviewing it every quarter. We are -- under the accounting rules, we are required to look for signs of impairment and obviously, the engagement that we've had ongoing in Mali was a trigger for that. And on the back of that, we looked at our holding value and the potential outcomes in the future, which, of course, are multiple. And we had to make some assessments around that. And based on that, we considered that the goodwill that we had previously written up against this asset when Barrick acquired it in the Randgold transaction was no longer appropriate. And so it was on that basis that we've written it down. But we don't expect to have to do that on an ongoing basis. If there was a material change in the circumstances, which then had an impact on the future -- the potential future cash flows, we would assess it at that point. But that's not what we expect going forward. With reference to your comment about Porgera, it's really -- it's all about what the holding cost was. So in the case of Porgera, the holding costs in our books were extremely low. And therefore, even though we had situations which might have caused us to look at whether there was an impairment because the cost in our book was very low, it never got to that point.
Tanya Jakusconek: Okay. All right. My second financial -- follow-up on Anita's question. I appreciate that these charts that you provide to us are directional. And I am coming back to the capital because directionally, the chart that was provided in the Investor Day did show 2026 peaking at that 4.2-ish range on capital and then starting to decline in 2027, '28 and '29, which is a bit different than the sort of capital outlay of flattish for '26, '27. So there has been a movement of capital and it has to be more than just Loulo-Gounkoto because that one is about $300 million. So just trying to understand what has been moved around?
Graham Shuttleworth: So Tanya, just to be clear, when I answered Anita's question, it was really in the context of our specific guidance for 2025. With reference to your question, which is really about the longer-term outlook, yes, there have been changes in the sequencing of the timing of capital at those feasibility studies as we've got more details on the exact timing of the spend. So yes, there's some shifting between '26, '27 and '28. But as you will have seen in terms of the gross numbers that we previously gave guidance on for both the Lumwana project and the Reko Diq project those total numbers haven't changed. So it's really just the timing of the spend as we incurred over the period of the projects.
Tanya Jakusconek: Yes. And the 2025 which majority of it was Loulo-Gounkoto so I thought we were running at about $300 million, but we could take it offline. My two other technical questions, if I could ask, Mark. I wanted to come back to just Pueblo Viejo and the relocation program. I just remember from the mine tour that the tailings and the conveyor area, I think the relocation was about 1,500 people or thereabouts that had to be done over a period. Can you just confirm that that's still the case and that need all of this to be done? I just don't remember when we have to have this supply [indiscernible].
Se-Wook Yoon: So we've -- Tanya, we've spent a lot of time building in flexibility and the focus is the starter wall and the starter dam. And so that's -- so we can manage that. And also, we've looked at different accesses into the area, both into -- be able to start the construction of the starter wall and then looking at the bigger project. So again, we are managing -- this is a social program. As you know, we've done many of these before, and you need to -- and so we built in some flexibility by just the approach that we've taken on the phases that we will enter and the key for us, however, is to get the geotechnical drilling done so that we can build the starter dam and the foundations for the main walls because this is -- remember, this is a highly seismic area. So the construction of this dam is a highly engineered construction and to be able to do it and ensure that it meets all the criteria for that setting. We need to do the -- a lot more geotechnical work than one would do for a standard tailings dam.
Tanya Jakusconek: Mark, on the critical cap, what is it on the critical cap that you have to have a relocation of this [indiscernible].
Se-Wook Yoon: Yes, we've got out until 2029 to be able to have the starter dam functioning. Our original plan to be quite well advanced with the main dam. Do you want to add to that, Simon?
Unknown Executive: No, it's just -- so we've got till the end of 2029, and then there's still additional work ongoing, which has got some flexibility going into 2030, but obviously, our priority is to get the dam geotechnical work down, as you pointed out.
Se-Wook Yoon: Okay. And then just for that, Tanya, we have extended the El Llagal dam, which is the current dam, so with another lift. So we have built some flexibility into that.
Tanya Jakusconek: We're okay then for tailings until it's probably about 2030-ish, would that be fair?
Se-Wook Yoon: That's pretty fair. But this is -- so I may just point out, we're going to build this dam because, otherwise, why are we doing all this work, so.
Tanya Jakusconek: And just on this, is there any [indiscernible] because of this additional starter dam and other?
Se-Wook Yoon: Right now, the estimated capital is that you're asking it, you're breaking up. But I mean, we are very comfortable with the current outlook on our estimates for the completion of this whole expansion.
Tanya Jakusconek: Okay. And then my final question, I just wanted to go -- I just wanted to ask about -- Mark, you mentioned you have the obligation in the joint venture to move Fourmile into the joint venture once you have the feasibility study. Is that a -- if Newmont decides they do not want to participate in Fourmile for some reason, is that a unilateral right that you have to be able to displace material from the joint venture and put in Fourmile [indiscernible]?
Se-Wook Yoon: So they have the obligation to take it into. It's a put and call and it's an automatic one. So if it meets the criteria as laid out in the joint venture agreement, we have the right to put it in obligation and they have the obligation to accept it and settle the payment cash or dilute. That's the option. So it's very clear. Of course, there's always opportunities for us to jointly agree on a different way of bringing it into the joint venture. But without a doubt, Fourmile has real value and to all our shareholders in Nevada Gold Mines.
Operator: The next question is from Daniel Major with UBS.
Daniel Major: Can you hear me okay?
Se-Wook Yoon: Good, Daniel. I can hear you perfectly.
Daniel Major: Great. Just a couple, the first one on the buyback. Mark, you noted you intend to continue buying back stock. You bought back quite a lot in the fourth quarter. Can you give us any steer on how we should expect that the kind of run rate? Is there a target? Or is it very much kind of share price dependent? How we should be thinking about there -- the quantum of the buyback in subsequent quarters?
Se-Wook Yoon: So we look at this in last quarter, we are managing a big capital program, cash flow. We've got higher commodity prices, stronger revenues. So and very clearly, we have absolute no hesitation to buy back our share when it's at sort of these low share prices. And we'll continue to do that. At the same time, as you know, both Graham and I have shepherded our businesses through many challenging times. And the one thing you don't want to be is by holding to the market as you go into a big capital program. And we're mindful of that. We are -- we have all the facilities to be able to ensure that we get to where we want to get to, and we'll make sure that we balance that carefully. But as we've demonstrated here now the run rate, as you pointed out, Dan, for quarter 4 was well over $1 billion a year. So -- and we will -- we look at this every day, and we'll make the decisions on a daily basis, and that's what we do.
Daniel Major: Okay. And next one, just on your CapEx guidance, looking at the $1.7 billion to $1.9 billion of project CapEx. Can you give us a breakdown of how much of that is going to Lumwana and to Reko Diq approximately?
Se-Wook Yoon: I'm sure Graham is going to answer that. Dan, you got another question, while he gets his head around that answer.
Daniel Major: Yes, I can go for one more. So yes, I appreciate the Mali situation, you can't comment on too much of the specifics, but you made it very clear that the outcome wouldn't impact the growth trajectory of the business. Can you just kind of clarify also whether it would have any impact on the project pipeline, funding decisions around major projects if you don't have that cash flow available to redistribute within the group for an extended period?
Se-Wook Yoon: We're very comfortable with where we are. We'll be able to manage it. And Dan, every day, we have days like today with gold price and copper price. We're building a cushion in the funding structure. So -- and we've had a long time in that in the last 3 months, so.
Graham Shuttleworth: Yes. So Dan, yes, just to come back to your question then. As you'll see from the MD&A, we're guiding approximately $1 billion of spending on Reko Diq on a 100% basis. So our share of that would be just over half. And on Lumwana, we're guiding $0.6 billion in capital spend for 2025.
Se-Wook Yoon: And I think I would add that particularly in both cases, but in Lumwana, because it's got one circuit already running. Any -- and that supports the financing. And so higher copper prices really do bring down the exposure that Barrick has to support that expansion. So right now, with the outlook on copper and our own internal revenue generation capacity, these projects are becoming more affordable by the day as we collect, accumulate. And that's why it's important for us to manage that net debt position as we go towards these bigger capital years.
Daniel Major: Just a brief follow-up on that, Graham, or either Mark or Graham, to be clear, you would expect to accrue the minority contributions to the Reko Diq capital as you spend them. So is that show up in the P&L, that's a cash flow statement?
Graham Shuttleworth: Yes. So from an accounting point of view, we're going to be consolidating that asset. So yes, you will see it from that point of view. But from a -- from a cash point of view, we're only funding effectively 55% of the project because there's a 10% free carried interest. So our 50 out of 90 is about 55%. So that's what we fund from a cash point of view.
Operator: The next question is from John Tumazos with John Tumazos Very Independent Research.
John Tumazos: I'm looking at ways to try to convince in Agnico or Alamos Gold shareholder to buy Barrick instead. And it's not necessary to tell those shareholders that you're good managers because they know that. And they know that you build good mines, they're politically risk-averse people. And I was thinking of 3 tactics or minor repairs in your strategy that might help someone to buy the Barrick shares instead of the Agnico shares. And let me just see if any of these 3 minor changes appeal to you. One would be if you asked your exploration department to acquire a couple sub-$1 billion exploration and development projects with large resources to shift a part of your resource base to Canada. And the premiums, of course, are smaller for these development companies that need financing. A second tactic would be if you advanced Donlin Creek in Alaska, which is in the U.S., and it's a slower return project in a safer place. A third tactic would be if you had a corporate policy of reinvesting every penny of North American cash flow in North America, plus half of the cash flow from outside North America into North America to try to comfort the investors who're afraid of political risk in foreign countries. Do any of those things make sense to you, Mark?
Se-Wook Yoon: I guess, John, thanks for that advice. It's -- I think partially, there's a bit of common sense in any one. I think the one point is that the world's changed. Maybe that was appropriate a year ago, but I think there's a very uncertain environment that has developed around both Canada and the United States. And again, we're very invested in the United States, and we are heavily invested in exploration and pursuing new opportunities, both in the United States and Canada, just as we are in all the other highly prospective regions. And so again, what -- I think what will eventually drive us -- drive those investors to invest in us is that we've demonstrated that we are a safe pair of hands with our shareholders' investments. We haven't asked them for anything for a very long time, and we've never diluted them. And today, if you look at where we are compared to where we were in 2019, we are a lot better off and a whole lot more valuable. And we have done nothing to destroy that value. So as you know, John, go back to 2011 and Randgold, and all the M&A activity and the fact that we focused on just being a little bit more conservative and diligent in the way we invested our shareholders cash. We separated us from the investors and a lot of people migrated from those highly overvalued assets or equities into the Randgold stock and made it the best performing gold stock ever. So I think -- we set out to build something in Barrick. We were not -- we were completely aware of the challenges we had. We weren't prepared for the inflation and COVID and the sort of dynamic world that we've sort of entered into in the last couple of years. And everything has just been put on steroids in the last 28 days. And so I think there's a big question mark everywhere about where to be and what to look for. And what's been good for me is always focusing on projects that make money in spite of the market and both Lumwana and Reko Diq and PV, Pueblo Viejo, and Fourmile are all assets that will make money regardless. And so as the market gets their head around the fact that we're still very clear and on top of that, there is no other gold company where the shareholders -- the management own as much as what the management and Barrick own. So we are very motivated to deliver against that plan. And we -- I mean just to get back to your 3 points, in a form, we would exercise any one of those, not necessarily exactly how you explained it, but there's -- each one of those ideas have an option that we've already discussed in our team.
Operator: The next question is from Joshua Rails with RFI Associates.
Unknown Attendee: I want to thank you and your team, Mark, for your long-term commitment and acquiring reserves at a very low cost without diluting shareholders as I'm a long-term investor. I wanted to kind of continue on what Mr. Tumazos was saying in the sense that the generalist investor has been pretty absent with gold mining stocks in the last few years, even as the gold price has risen, because it wasn't being realized at the bottom line due to higher costs and in some cases, lower production. It appears that your costs are stabilizing on the labor front and on inputs like oil. And I wanted to ask you, do you see that continuing which is enabling the margins to really explode higher. And it would seem to me, at some point, the generalist investor is going to be awakened by these very rapidly increasing margins, gold is up almost $900 since the beginning of last year, and you have all these tens of millions dollars of reserves and the tens of millions of ounces of reserves in the ground that you've acquired at such a low cost. It seems like you're in the catbird seat even with everybody focusing on Mali, which is like the tail wagging the dog as far as I'm concerned, when I look as a long-term investor.
Se-Wook Yoon: Thanks, Josh. I mean, you share exactly what I think. So the point here is that when we look at allocated -- let me start with the cost side first. First of all, if you -- you need to start looking at the cash cost C1 cost and then the all-in sustaining costs, and there's still quite a big delta, which we shared at the Investor Day. So we'll bring that down as we address some of the ongoing sustainability investments or sustainable investments into projects, particularly in Nevada. But that is definitely we're starting to manage that, and we're starting to forecast that decline in that extra capital -- sustaining capital requirement to fix our assets. And I would just add that the success of being able to roll forward your tenure plans always comes with an extra sustainable capital because you've now got more requirement to put in additional maintenance capital because you've got a bigger ore body and a longer laugh. And sometimes -- and getting back to your second point, I've been in this industry, I think, longer than you even. And the one thing is you go through these periods where the equity becomes very focused on trade. And the gold equities have really been about short-term trades. And it's -- we've now started seeing some of the longer-term investors come back in the stock. Certainly, all our big investors have re-grown their positions and now register again. And we've got to really spend more time accessing those longer-term pools of capital, which our investor team, Investor Relations team is focused on. And it's -- and a lot of the real focus has been on the physical because of this obsession and correctly so, of the high-risk nature of the global economy. And at a geopolitical situation, across the world, including Canada and North America. So it is a very dynamic place. And so in my experiences, to survive in dynamics like that because I grew in geopolitically very dynamic, I grew up in those sort of markets, is make sure that your assets are bulletproof as far as viability goes. So -- and we've definitely got that. So I think we're in very good shape. And again, it's our job to be able to explain to people when you buy our stock, you have to buy it from another owner because we definitely don't issue it because we're also buying it in the market. So that in itself is a story of who we are in Barrick and how our outlook for our business and ensuring that we continue to create value for our shareholders. And it's -- and we're starting to get our head around that. And with the growth now and the decisions made, we can really look on a little harder on how we can work to John's point to unlock that value, and we will do that.
Operator: There are no more questions from the conference call.
Se-Wook Yoon: All right. Well, thank you, ladies and gentlemen, for your time and those who've phoned in. And again, as usual, our team is all available. You reach out to any of us or to our website, we'll be available to take questions and for those shareholders on the call, we'll probably be speaking to you in the next day or 2. So again, chat to you soon. Thank you again for your time.
Operator: This concludes today's event. Should you have additional questions, please contact the Barrick Investor Relations department. You may disconnect your lines. Thank you for participating, and have a pleasant day.